Operator: Welcome to the Novozymes conference call regarding the interim report for the first 3 months of 2023. [Operator Instructions]. Today, I am pleased to leave the word to Tobias Cornelius Björklund, Head of Investor Relations. Please begin your meeting.
Tobias Bjorklund: Thank you, operator, and welcome, everyone, to Novozymes' conference call for the first quarter of 2023. My name is Tobias Bjorklund, and I am heading up the Investor Relations department here at Novozymes.  At this call, our CEO, Ester Baiget; and our CFO, Lars Green, will go through our performance and key events of the first quarter as well as the outlook for 2023. Also present at this call are Tina Fanoe, EVP, Agriculture & Industrial Biosolutions; Amy Byrick, EVP, Strategy & Business Transformation; Anders Lund, EVP, Consumer Biosolutions; and Claus Fuglsang, CSO and EVP of Research and Development. The entire call will take about 45 minutes, including time for questions at the end.  Before we begin, I would like to remind you that the information presented during the call is unaudited and that management may make forward-looking statements. These statements are based on current expectations and beliefs and involve risks and uncertainties that could cause actual results to differ materially from those described in any forward-looking statements.  With that, I'm happy to hand you over to our CEO, Ester Baiget. Ester, please.
Ester Baiget: Thank you. Thank you, Tobias, and welcome to our call. Please turn to Slide 2. We are off to a very good start in 2023. Our well-diversified portfolio and end market exposure is providing resilience and strength, and we grew 5% organically in the quarter, which is better than we initially expected.  The end of the first quarter was very strong, with some benefit from timing of orders. This was especially true for Bioenergy and Agriculture, Animal Health & Nutrition.  Food, Beverages & Human Health declined based on a very demanding Q1 last year. Adjusting for the sales related to the large one of last year, growth in this business area was close to flat.  And across the 5 business areas, we delivered solid price increases. This is very -- sorry -- as our focus on commercial capabilities are showing good results, underlying total volumes also increased.  We reported a gross margin and EBIT margin in line with expectations. And while they're still down in Q1 year-on-year, we delivered sequential improvement from Q4 for both the gross and the EBIT margin. This is in line with our plans to reach our roughly flat year-on-year gross margin and EBIT margin between 25% and 26%.  Additionally, free cash flow before acquisitions was negative by around DKK 100 million, mainly explained by lower trade payables. And also ROIC, including goodwill before special items, was 17.7%, above the full year outlook of 16% to 17%.  We are executing on our strategic plans across the full range of activities, with the shareholders' approval on March 30 at both Novozymes and Chr. Hansen as important milestones. We continue to work on gaining regulatory approvals and with the recent positive development in the U.S. and with the filing in Europe, we follow the expected trajectory to close the combination in Q4 2023 or Q1 2024.  On the innovation side, we launched 3 products this quarter. The publicly communicated launch is within Consumer Health, where we see an expansion of Vitamin K2, a product that came with the acquisition of Synergia. The new format allows for the inclusion of vitamin K2 also in foods and in beverages. We have a solid pipeline of new impactful product launches for the year across industries and across geographies, emphasizing our innovation leadership.  After a solid start to the year, we maintained the outlook across key financial parameters and adjust the full year indication for Bioenergy slightly upwards. We are confident to deliver our full year expectations, which still includes a softer start of the first half of the year, following the timing effect here in Q1.  And with this introduction, let's now look at each of the 5 business areas in more detail, starting with Household Care. If you could please turn to Slide 3. Thank you.  The first quarter performance in Household Care was solid with an increase of 2% organically. This was despite the negative impact from the war in Ukraine as well as industry volume softness in developed markets. Pricing had a positive impact on the growth in the quarter. Developed markets performed well despite the softness in industry volumes. Emerging markets were flat as growth in Latin America and Asia Pacific were offset by the negative impact from the war in Ukraine. Additionally, the Freshness technology performed in line with expectations.  Turning to the full year, sales will be driven by enzymatic penetration in emerging markets and also expect the Freshness platform to contribute to growth. The slightly better start to the year gives us increasing confidence in our indication of low single-digit organic growth for the year. Our growth indication includes expectations for contracting detergent volumes in developed markets as well as certain degree of down trading. Finally, we expect pricing to contribute to the full year development.  Could you, please, turn to Slide 4. Thank you. Organic sales in Food, Beverages & Human Health declined 8% in the first quarter. The soft performance was roughly in line with expectations as the comparator on top of the very strong sales across areas also included affect -- timing effect of roughly 5 percentage points from a large sales order. Additionally, as there were no sales from this product here in the first quarter, the total impact is higher than 5 percentage points. Adjusting for this timing effect, the underlying growth was relatively flat.  We saw a positive impact from pricing in the quarter, and Food has the strongest underlying performance with good progress on customer activities. Human Health was softer than expected as supply chain issues impacted our ability to serve demand. Additionally, a general softness in North America demand for probiotic solutions was only partially offset by our exposure to the more robust health care practitioner channel.  As the soft start to the year was much as expected, we maintain the growth indication for the full year of high single digits with all sub-areas contributing to growth and pricing being a strong component. Human Health is expected to grow double digit. In general, we see good progress on the recent launches and our innovation pipeline with customers, giving us confidence in the full year indication.  Please turn to Slide 5. Thank you. Bioenergy sales grew 28% organically in the first quarter. The very strong performance was partially driven by timing of orders coupled with better-than-expected market fundamentals towards the end of the quarter. Growth continues to benefit from the same drivers as in previous quarters, demonstrating the resilience of our portfolio and geographical exposure. Our solutions allow customers to gain market-leading yields and additional value generation in animal feed, corn oil and fiber extraction. Growth was led by a strong penetration of innovation in North America, where the ethanol production is estimated to have a decline by 2% according to EA. Additionally, growth benefited from capacity expansion of corn-based ethanol in Latin America and biodiesel. Also, pricing had a positive impact in the quarter. Lastly, we saw a contribution from sales of enzymes used for biomass conversion, commonly referred to as second-generation biofuels.  Looking at the full year, we now expect growth in the high single digits. Growth will be driven by pricing, will be driven by market penetration enabled by innovation, capacity expansion in Latin America and market penetration in biodiesel. Additionally, we expect growing sales from second-generation biofuels. The outlook assumes a flat to slightly declining U.S. ethanol production.  Could you, please, turn to Slide 6. Thank you. Sales in Grain & Tech Processing declined 9% organically in the first quarter, driven by a weak development in Tech and only partly offset by growth in Grain. Tech was negatively impacted by significantly lower sales of enzymes for COVID-19 test kits and a soft textile market.  Favorable market conditions and solid demand, together with higher grain prices, benefited the performance in Grain as our yield and optimizing solutions become even more attractive for our customers. The growth in Grain was driven by increased market penetration in vegetable oil processing and continues to be underpinned by our innovation. And pricing had a positive impact in both Grain and Tech.  Looking at the full year expectations, we continue to expect growth in the low to mid-single digits, supported by a positive impact from pricing. Performance in Grain will be driven by increased market penetration and innovation in both vegetable oil processing and starch. Tech is expected to decline, driven mainly by reduced sales of enzymes for COVID-19 test kits and a soft textile market.  Please turn into Slide 7. Thank you. Agriculture, Animal Health & Nutrition sales grew 19% organically in the first quarter, driven by Animal Health and Nutrition. Overall, there was a positive impact on pricing. The strong growth in Animal Health and Nutrition was supported by timing of orders as well as recent product launches and end market-driven volume growth. Performance in Agriculture was more muted, impacted by the volatile end market and some destocking effects.  For the full year, we expect growth to be led by the Animal Nutrition and Health businesses. Growth will be driven by pricing, by innovation and market growth and increasing demand for sustainable solutions. The positive timing effect we saw in the first quarter is expected to reverse in the second quarter, putting pressure on the growth rate for the second quarter as it is also facing a tough competitor. All in all, we are maintaining our full year indication of growth at the rate of mid- to high single digits for the business area overall.  And with that, I will hand over to Lars for a review on the financials. Lars, please.
Lars Green: Thank you, Ester. Please turn to Slide 8 for a review of our financial performance. We grew 5% organically and 6% in reported Danish kroner, including 1 percentage point positive effect from currency. The divestment of certain wastewater-related solutions had only a marginal negative impact on growth in Danish kroner.  We delivered a gross margin of 54.1% in the first quarter, 1.4 percentage points below the same quarter last year, however, with a sequential margin expansion of 60 basis points compared to the fourth quarter of 2022. The lower year-on-year gross margin was mainly due to higher raw material and transportation costs, partly offset by a solid progress on pricing and productivity improvements. Our pricing efforts evolved during 2022, with a growing and more meaningful contribution to the gross margin in the first quarter of 2023, which is also visible comparing to the fourth quarter of 2022.  The EBIT margin before special items was 26.0% or 0.1 percentage points lower than in the first quarter of the previous year. The EBIT margin before special items included 2 one-offs this quarter. The first was a gain related to closing of the divestment of certain wastewater treatment solutions as announced back in the third quarter of 2022. The second was a one-off cost associated with resource alignment in the commercial organization. The net effect from the 2 one-offs was around 1 percentage point, resulting in an underlying EBIT margin before special items of close to 25%. This represents a decline of roughly 2 percentage points compared to the underlying EBIT margin before special items in the first quarter last year. The contraction was mainly an effect of the lower gross margin as well as increasing operating costs in the first quarter.  Looking at the sequential EBIT margin evolution and comparing to the fourth quarter of 2022, we saw the expected improvement in the underlying EBIT margin before special items driven by a growing contribution from our pricing efforts which is expected to continue throughout 2023. The reported EBIT margin was 24.5% and included special items amounting to DKK 66 million. This was entirely related to transaction costs in regards to the proposed combination with Chr. Hansen.  Net profit in the first quarter was DKK 801 million, which was 5% lower compared to the same period last year due to a lower profit before tax and a higher effective tax rate.  ROIC, including goodwill before special items, ended at 17.7%, around 0.4 percentage points lower compared to the first quarter of last year, mainly due to invested capital.  Free cash flow before acquisitions represented an outflow of DKK 113 million in the first quarter of 2023. The decline was driven by higher net working capital, impacted mainly by a negative development in trade payables from CapEx timing.  Now please turn to Slide 9 for an update on the 2023 outlook. We maintain our outlook for overall organic sales growth, reiterating an expectation to grow by 4% to 7% in 2023. Sales in Danish kroner are expected to be around 3 percentage points lower. We still expect more modest growth in the first half of the year with full year growth driven by a combination of stronger pricing as well as volume growth. Pricing is expected to contribute with more than half of the organic sales growth, while volume is expected to be predominantly driven by innovation and increased market penetration. Additionally, we don't assume any major changes to the current state of the global economy in our current outlook.  Turning to the gross margin. We expect a similar level to that of 2022. The increased level of input costs during 2022 will continue to impact the margin negatively here in 2023 while price increases as well as productivity improvements will impact positively.  The outlook for the EBIT margin before special items remains at a solid 25% to 26%. The margin will benefit from price increases, sales growth and productivity improvements. Currencies, continued investments in the business and considerably higher input costs are still expected to have a negative year-on-year impact.  The outlook for the return on invested capital, including goodwill and before special items, is unchanged at 16% to 17%.  For the modeling assumption, the free cash flow before acquisitions is maintained at DKK 1.8 billion to DKK 2.4 billion. The level of net investments is expected to be lower compared to that in 2022 and includes around DKK 400 million for the final construction year of the advanced protein solutions facility in Blair, Nebraska.  Given the current visibility and with the results of the first quarter, we feel confident to deliver on our financial targets for the year and the targets set out in our strategy, unlocking growth powered by biotech.  Now please turn to Slide 10 for a recap of the time line of the combination with Chr. Hansen. The material events that have occurred in the period between the signing of the merger plan on December 12, 2022, and what we have said at the Extraordinary General Meeting on March 30 are the following: On January 24, the Danish Tax Assessment Council confirmed in a binding ruling that the proposed combination meets the requirements to be completed as a tax-exempt merger.  On January 26, Novozymes' audited annual report for the 2022 financial year was approved by the Board of Directors and published. On March 2, Cees de Jong was elected as the new Chair of Novozymes' Board of Directors at Novozymes Annual Shareholders Meeting. On March 8, we published an exemption document which covers the businesses of Novozymes and Chr. Hansen with details and regulatory steps related to the proposed merger. This includes risk factors that are material to the merger. Certain risks may continue to be relevant to the combined company following completion of the merger.  Also on March 8, we confirmed our financial outlook for 2023 and announced the proposed candidates for the Board of Directors of the combined company. On March 28, the U.S. antitrust regulation waiting period expired, supporting the path to completion.  And on March 30, we held the Extraordinary General Meeting, voting to resolve the proposed combination. We obtained a strong support from shareholders, with 88% of the share capital voting in favor. And the support was also strong if we exclude the position for Novo Holdings, with 80% of the share capital voting in favor. Additionally, Chr. Hansen also had a strong vote in favor of the combination. The shareholder approvals were important milestones towards day 1 of the new company, and we are now working diligently having good dialogue with authorities, including our filing in Europe, towards the expected completion of the combination in either Q4 '23 or Q1 '24.  And with this, I'll now hand back to Ester for a couple of concluding remarks.
Ester Baiget: Thank you, Lars. Please turn to Slide 11. To summarize the performance here in the first quarter, we are off to a solid start with some benefit from timing of orders. We delivered solid pricing across the businesses, and we delivered underlying volume growth. The gross margin and EBIT margin was in line with expectations and with sequential improvement compared to the fourth quarter of 2022. We maintain our expectations for the full year with the indication of slightly stronger growth in Bioenergy. And finally, we are executing very well on our strategic agenda and portfolio of opportunities despite the continued high volatility in many of our end markets. And we're working diligently on combining with Chr. Hansen, creating a leading global biosolutions partner.  And with those concluding remarks, we are now ready to -- and up for questions. Operator, please, if you could please begin.
Operator: [Operator Instructions]. The first question is from Gunther Zechmann of AB Bernstein.
Gunther Zechmann: Gunther Zechmann from Bernstein here. Two questions, please. The first one on pricing. So most, if not all, of the strong organic sales growth, the 5% in the quarter, were pricing. How does that tie in with your full year guidance? So even if I take the high end of your 4% to 7% range, you say half of that or more than half of that is pricing. So that gets me to 3.5% plus. What assumptions are you making for volume? And how would you characterize that as part of the full year guidance, please?  And the second one is on the U.S. probiotics market. Could you tell us how much of your probiotics in the U.S. you sell via more traditional channels versus the practitioners? Because so far, I think you were quite shielded from the market decline in U.S. probiotics. Mark-to-market on the split, how much of your probiotic sale in the U.S. is via practitioners would be helpful, please.
Ester Baiget: Thank you, Gunther, I'll start maybe a little bit with your first question and then pass it to Lars, and then I'll let Amy build up on the probiotics split on the value chain.  On pricing, as you commented, we're very pleased on the fruits of our efforts on pricing. This is a journey that we started a while ago. It's reflecting -- we're starting to collect last year already the benefits of that fruit with sequential and continuously contribution of pricing in place. And now you see a strong contributor of this quarter. It is true also that excluding the one-offs, we see underlying volume growth projections. So the combination of the 2, the continued momentum on pricing and then relative to the also growing performance of pricing on last year with the underlying momentum on volume growth, that makes us confident to deliver on our year guidance from 4 to 7. Lars, I'll pass it to you.
Gunther Zechmann: If I could just jump in on the pricing, please. Is there any reason why you wouldn't have 5% pricing for the full year '23? Because pricing was not meaningful in 2022 from a comparable point of view, just thinking about lapping the comps and you do 5% in Q1. So should we not assume that, that runs at 5% for the remaining 3 quarters, therefore, as well before it laps?
Ester Baiget: Pricing continued to improve the contribution last year. And it was there present in Q4, and you should see that as a relative also comparison for Q4. But I'm also -- will let Lars further elaborate on this aspect.
Lars Green: So that's exactly what I wanted to sort of underline, that as we sort of progressed during '22, you will notice that we sort of increased our contribution from price. So the first quarter last year was very little, I think flat, I think we said. And then as we progressed during the year, we ended up saying pricing actually had a positive contribution. And obviously, this means that the effect was stronger by the quarter. And that's also why, even if we maintain current price levels, relatively speaking, this means that the pricing contribution in percentage terms will be lower as we progress during the year. So therefore, the 5 percentage point-ish so to speak, of the first quarter will turn into a lower number for the year. And therefore, it actually fits with our guidance to say that we expect 4% to 7% for the year, more than half to come from pricing and the residual from volume. And if we sort of look at the range, it will sort of be changes in demand, either upwards or downwards, that will bring us to the either lower or upper end of the range. So that's how we look at the split between pricing and volume growth.
Amy Byrick: And maybe I can take the question on the U.S. probiotics market. As Ester said, yes, we do see weakness in the overall market, but that is somewhat offset by our exposure to the health care practitioner channel. That represents, Gunther, to your question, more than half of our sales in the U.S. And so what we see though is, obviously, we're targeting broad-based growth across both the HCP as well as other channels.  Just to -- and I think Ester mentioned it as well, the weakness that we see, yes, is somewhat in terms of the market, but also in terms of some supply chain challenges that we have faced in the quarter.
Ester Baiget: And we're staying committed to our expectation for year-end, right, Amy?
Amy Byrick: Absolutely.
Operator: The next question is from Alexander Jones of Bank of America.
Alexander Jones: The first one, just on the order timing. I was wondering if you could quantify at all the sort of positive impact you think you've seen from order timing this quarter. Or maybe to phrase that another way, what growth trends have you seen into April relative to Q1?  And then the second question on Bioenergy. I was wondering if you could expand a bit more on the byproduct value capture opportunities that you mentioned have driven growth here via innovation. Perhaps some examples. And how much further runway you see for your customers to keep increasing purchases of those enzymes or whether that's relatively well penetrated at this stage.
Ester Baiget: Thank you for the question. I'll start and then let Tina build up also on the Bioenergy. We've seen a 5% growth in Q1, stronger than what we originally expected. And a main driver of that further growth, it is, as you so nicely mentioned, because of timing, particularly at the end of the quarter. And that was even more relevant in Bioenergy and Animal Nutrition & Health, 2 segments that are highly volatile and that we saw that volatility in place.  What I would like to invite you to see also to read from the strength of higher numbers than originally forecasted is, again, the resilience of the team, the value of a very diversified portfolio, the value of a diversified market and then that even in a very volatile market, we're responding, we're delivering and then we capture.  We described last year that we'll have a softer first half of the year. Our read of the year has not changed. We finished the first quarter a little bit higher than we expected, but we're not changing outlook on the first half of the year relative to the second half. And with that, April is consistent with, to your question, on the trend that we're forecasting. So we're staying firmly committed on our path and trajectory to deliver on the year, and the strong start of the year makes it even more confident on that direction. Tina?
Tina Fanoe: Yes. And on the byproduct in Bioenergy, so it is one of the examples of the decoupling which we have been working on the last many years in order to decouple the Bioenergy business from the, you could say, only ethanol production in the U.S. and this both goes in terms of the areas in which we play. So biodiesel, biomass conversion as well as bioethanol and then also in terms of geographies.  And then last but not least, to your question, also on capturing value from alternative value streams than just the ethanol. And it is an area where we have launched a number of new products, for example, the fiber platform, we call it internally, so our Fiberex product range, and we do still see a significant growth coming from here, and that is something which we expect to continue to see.  But I think that it's important that when you think about our Bioenergy business, that you look holistically at it, not only in the U.S. and in terms of what is it that we can do on product upgrades as such, but it's also a matter of looking at geographical expansion as well as the whole notion of the different value streams in terms of biodiesel, biomass as well in this area.
Operator: The next question is from Lars Topholm of Carnegie Investment Bank.
Lars Topholm: Congrats with another excellent quarter. Two questions from me, please. The first one is the supply chain issues you flagged in Human Health. I just wonder if you can give a little bit more color on what is the nature of those supply chain issues, what is the estimated impact on the Q1 growth and how and when are you trying to solve them?  And then a question on Bioenergy. Because if I look at your full year outlook, it implies a lower quarterly run rate of revenue than you had in Q1. But going back through the years, Q1 has actually tended to be less than 25% of full year sales revenue, typically increases quarter by quarter over the year. And of course, I hear you saying there might be some phasing from Q2 to Q1. But can you try to quantify that? And can you try to explain why, implicitly, you now guide for different pattern over the year in Bioenergy revenue than we usually see?
Ester Baiget: Thank you, Lars, for your kind comments. And then I'll let Amy build up on the supply chain issues on Human Health. We started the year a little bit softer, but we have a solid plan on interventions on how to mitigate that and then deliver -- included on the path to deliver on year-end.  And then I will ask Tina to build up on your -- you implicitly answered your question yourself because it's timing, the one that changes the pattern. And then again, it's our capability to respond with a very volatile market the one that makes a different pattern. We upgrade in the guidance of lifting up the guidance on Bioenergy, and we see that Q1 as a strong sign of our trajectory for year-end. But I'll let Tina build that on that.
Amy Byrick: So Lars, if I start with the supply chain challenges in the U.S., these are largely linked to our contract manufacturing network for the finished format products. And I think that hits us in 2 ways. It hits us in terms of actually delivering on the finished formats for existing business, but it is also a constraint in terms of getting access to a CMO time to develop new products and get the new product launches out the door. And so that's really where we are taking action on both fronts. And so as Ester mentioned, we've got a lot of actions in place, we feel like we're on top of the situation, but we are still trying to liberate additional CMO capacity to be able to get back to growth.  So my expectation in terms of timing is that we will see continued challenges in Q2, with a really strong rebound in the second half, which gives us the confidence to get back into double-digit growth for the full year.
Tina Fanoe: And then on Bioenergy....
Lars Topholm: Can you estimate the impact on Q1, Amy?
Amy Byrick: I think it's tough to put a number on it, Lars, but clearly, our expectations in the underlying demand that we see is higher than what we're able to deliver on. And again, that continues to be the biggest frustration of not being able to deliver to the full expectations of the demand that we see in the market.
Lars Topholm: That's fair.
Tina Fanoe: And on the Bioenergy, Lars, as Ester also said, we are lifting our expectation for this segment. And as you know very well, the segment also consists of biodiesel and especially the lumpy biomass sales. And if you take that and then correct for the timing, I would say roughly half of the timing indications for the corporation, half of that goes to Bioenergy and roughly half go to Agriculture, Animal Health & Nutrition. So if you subtract that and then look at what we did in Q1 and say we do the absolute same amount throughout the year and subtract the timing, then you get roughly to the level what we are expecting for the segment.  You're also right that if we, for example, look at last year, that we saw a significant pickup throughout the quarters towards the end of the year, and therefore, also the comparisons become tougher.  But you also have to factor in here that, a, it is volatile. And b, we talked about pricing earlier also in the call. And Bioenergy, it is an area where we also benefited from pricing throughout 2022. And that also means that you could say the comparator becomes more difficult. So all that together lead us to that we believe that high-single digit is a good indication for the segment. And it is volatile, but what I'm also very pleased with is to see that here, towards the end of the quarter, Q1, we saw margins pick up significantly and we were capable to deliver to it. And that agility in the team, I think, is very, very good.  So let's leave it there with high single-digit lift. It is a volatile business area. But you are right, typically, we see the absolute levels increasing quarter-by-quarter, and that's why we also increased the expectation.
Operator: The next question is from Nicola Tang of BNP Paribas Exane.
Nicola Tang: First question, I was wondering if we could get an update on the Advanced Protein solutions facility in terms of the investment progress there and also discussions with customers beyond the core customer that you have.  And then the second question, a change of topic. I just wanted to ask on the deal. I see you've announced the Board of Directors. I was wondering when you would look to announce the management appointments beyond CEO and CFO for NewCo.
Ester Baiget: Thank you, Nicola. I'll take both your questions. We're moving diligently firmly on budget, on time, safely across all aspects. You've seen also on the balance sheet from the cash flow on payments also on the construction on our plant in Blair. We're expecting to start up, as we originally forecasted, before the end of the year, and that's moving extremely smoothly. It's a great job that the one that the team is doing.  We continue also our conversations with our anchor customer and are progressing very well. We continue to see the pull and the from consumers for solutions on plant-based alternatives that they fulfill their needs, meaning that fulfill the experience of taste, fulfill the experience of nutrition, fulfill the experience of health and also bring a flavor of sustainability and competitiveness. And we're contributing on all those parameters.  So it is true that in the market there is some, maybe, non-repeat trends, but not in the spaces where all those parameters getting clicked where we continue to see the growth.  And I'm also inviting you to see this asset that we're building and that we're going to start up by the year-end as a one dot more with our overall asset footprint. As we do with all our facilities, it is integrated with our network and will be a contributor and enabler of the sustainable growth for Novozymes.  Then regarding your second question on the combination with Chr. Hansen. You heard Lars going through the listing of long list of events and activities. We're moving firmly towards closure by Q4 or Q1 next year. Across all fronts, the solid and extraordinary support we got from our shareholders, it gives a high level of confidence, pride also, that we're starting and moving in the right direction.  The Board is announced. We're working diligently also internally on getting us ready for Q1, and that includes the Steering Committee and streams are launched across all the areas. Operating model and organization, it is one of them. And we're moving -- we're working on that area. As we're doing on to creating the culture, the brand, getting ready for financials, the IT systems across all the spaces.  I'm choosing not to answer your question exactly on when we will be announcing. I'm answering the question and that we are working on getting ready and getting closed by Q4 or Q1 next year being, of course, the organization and the next layer, an important parameter that we will announce when it's in place.
Nicola Tang: All right. If I can follow up on the first question. Could you just clarify in terms of once the plant ramps up at the end of the year or is ready by the end of the year, in terms of revenue contribution, would that be mainly with your anchor customer at the start or could we see sales with other customers from the get-go?
Ester Baiget: Yes. If you remind, Nicola, we -- when we made the announcement, we communicated DKK 1 billion within the next 5 years, and that was including the whole pipeline of advanced proteins in place, being the anchor customer a contributor of that. But the revenue that we -- the projections that we made, it is including for the whole space of advanced proteins and functionalization mainly in Food and in nutritional aspects.
Operator: The next question is from Chetan Udeshi of JPMorgan.
Chetan Udeshi: I have two questions. First one, just on Bioenergy. It used to be a pretty lumpy business and you yourself are referring to some lumpiness there, but we've seen like a very high sustained growth in the business now for the last a few quarters. So it feels like there's a sort of element of structural change within the business. So I'm just curious if you can talk about how much is the exposure these days to the pure ethanol market in the U.S. versus all the other bits and bobs that you guys are adding to that business.  And the second question was -- and apologies if this is a bit of a straight question, but Ester, I wanted to challenge your comment regarding the progress on commercial pricing. Because if I look at Q1, the gross margins are down, EBIT margins are down. I mean, it's tough to see the progress on commercial pricing in the sense like if you can't raise prices enough to cover the cost inflation despite like 4 quarters of cost inflation, I think we can't yet see that the progress on commercial traction to price for innovation at Novozymes. But maybe any clarification there would be helpful.
Ester Baiget: Thank you, Chetan. Thank you for the challenges also, we like them. On your first question, Bioenergy, I will let Tina answer on that. I will go into your nice comments on pricing. We see progress by the sequential gross margin and EBIT expansion. By progress, we mean sequential and gradual from one quarter and the other. We saw contribution -- increasing contribution on pricing last year, from the beginning of the year till the end. And we see the sequential gross margin expansion versus last year.  It is true that gross margin and EBIT margin compact during -- versus relative to Q1 last year and also that we're aiming to a flat gross margin for the year-end.  We're pricing on value. We're not pricing on cost. And the pricing efforts will continue to have an impact and continue to be an enabler of recovering the gross margin and putting us into the aim of flat gross margin versus last year.  The way that we define progress is on the momentum. We are not pricing on cost. We're pricing on value. And we always explicitly say that we will see the contribution on pricing as also contracts expire. We have extraordinary conversation with our customers where we talk about value.  We're seeing the momentum. We're seeing the impact. We saw it last year. We saw it this year gradually growing, aiming for a flat gross margin at the year-end, where pricing will continue to be an enabler of that. And then you're going to see pricing as a contributor moving also forward long term for Novozymes.  And Tina, I will pass it to you to drive and build on. On Bioenergy, we are taking -- this is a strategic layout change, the one that Tina is making. And as you're making a diversified -- as you mentioned, a diversified portfolio. But Tina, please build on this.
Tina Fanoe: Yes. So 10 years ago, it was 100% linked to the ethanol production. Today, I would say it's roughly half. So that's a very short answer to your question.
Ester Baiget: I think you are making it very simply, Tina. The work that you guys have done on changing and shifting what it was a bioethanol, enzymes for bioethanol for North America to now being a bioenergy industry, biotools for bioenergy. That means enzymes, that means yeast, that means value creation for the customers. Not only bioethanol, it's also the value of the byproduct. That means geographical expansion, which also brings Latin America. That means biomass. That means biodiesel. You're very, very humble on your answer, Tina.
Operator: The next question comes from Soren Samsoe of SEB.
Soren Samsoe: Congrats on the result. Just a question on the margin. I was just wondering if you are seeing any positive impact of the low energy prices? Or is that not until the second half you see that as, I guess, you produced -- you're selling products that were produced on the ordinary price level still?
Ester Baiget: Lars, could you please take Soren's question?
Lars Green: Yes. And so -- and it's actually a bit more complicated than that because you can say in 2022, we started the year with sort of the typical hedging levels of, say, 80% or so of our electricity consumption, which means that actually in 2022 we produced at energy costs that were prevailing at the beginning of the year. And so the increase in energy cost only happened during the year, and only the non-hedged part of our production last year was then at the elevated energy cost levels we had.  So as we then spoke to last year, we postponed a bit our typical pickup of hedging for '23 because of the spikes we saw in energy cost over the summer. And so now we are at the typical hedging levels for 2023, but those costs are higher than the hedging rates we had for 2022.  So in '23, we are producing at higher energy costs than in '22, but we are seeing energy prices come down now, so that looking forward and assuming that we can hedge at current levels for '24, then obviously we will see a benefit there. Plus we see a benefit on the unhedged portion of our manufacturing goods here in '23.  So it is not only the spot price that matters. It is also our hedging policies and the way we execute on that. And so we are seeing from here on an improvement going forward. But in '23, our energy cost will actually be higher than in '22. And that's why we speak to this higher raw materials cost hitting our cost of goods sold also in our comments to the accounts.
Soren Samsoe: That's helpful. And then secondly, just a comment on your BioAg business. When can we start to see an acceleration of that? I guess the environment for that should be quite good.
Ester Baiget: Tina?
Tina Fanoe: So we have seen -- so what we have said for the full year in BioAg is that we have communicated solid growth in Q4. We see -- we'll have to see the progress towards the end of Q2 in order to see how it performs. As you have seen here in Q1, we have seen some muted -- some decline in performance. So we'll have to see as the year progresses.
Ester Baiget: One last question, operator. Maybe no last question. Then that was the last question, Soren.
Operator: No, I apologize. One moment, please. The next question is from Charles Eden of UBS.
Charles Eden: I have two, if I can, quick. Is there any major variance in the pricing across the division? So I sort of, I guess, 4% to 5% pricing at the group. But is there any major variance by division? And if so, maybe you could talk about the areas where you're seeing the most pricing and which divisions have taken pricing below the group average.  And then my second question, just on the Food, Beverages & Human Health division, Ester, you mentioned broadly flat organic sales growth for Q1 adjusted for the order timing in Q1 in the prior year. Can you help me understand what gives confidence for the high single-digit organic sales growth for this division for the full year? I get the comments around the Human Health recovery. But on top of this, is it really just the more favorable prior year comps, maybe a little bit of incremental pricing, just the building blocks to the sort of sequential improvement in that underlying growth for that division.
Ester Baiget: Thank you, Charles. I'll start with your first question and then pass it to [indiscernible] also to build up on pricing and then the trajectory to year-end for Food and Beverages.  The major differences within our portfolio, the different segments on price, it's particularly on where we see that pricing impacting. It is -- the conversations with the customers are the same, pricing on value. The value that we bring in, it is higher. And therefore, the impact on pricing is there across all segments.  But then the timing, it's what makes the difference on where are we seeing it reflected in our balance sheet. And that's strongly dependent on the market. Some segments, we have a higher, longer contracts like in Household Care. And then we see the timing effect of the pricing efforts also being delayed. Some segments, they are much more agile, ductile. And as Tina mentioned, we saw already in Bioenergy some impact -- some stronger positive impact from pricing than in other areas.  So I would say the momentum on pricing is consistent across regions, across all segments. We capture the value that we deserve and that a fair share of value that our solutions bring in. And then being timing, the one that will drive -- will be the main driver of when do we see the -- how do you see it reflected as a contributor of growth.  You talked in your question implicitly about Food and Beverages and the timing effects, that makes, excluding those ones, close to flat volume growth. And then the demand and this confidence of us to deliver the high single-digit growth solutions for the revenue growth for the future. But [indiscernible], please if you could build on that.
Unidentified Company Representative: Yes. So what gives us confidence, 3 things. As you mentioned, I think we actually covered a couple of them today. Comps will be substantially easier as we get into the second half of the year. We still expect Human Health to deliver the double digits. And then we have seen and we did expect some destocking here in the first half of the year in Food and Beverages. We see the market being negative on volumes, at least the large markets in North America. And Europe, we expect that to reverse during the year and actually become a solid contributor. Those 3 things in combination makes us confident on the high single-digit guidance.
Ester Baiget: Thank you all very much for joining us today. Looking forward to continue the conversations in these next coming days, and thank you for your participation. Wishing you a nice day. Bye.